Operator: Good afternoon, and welcome to the First Merchants Second Quarter 2013 Earnings Conference Call. All participants will be in listen-only mode. (Operator Instructions) Please note, this event is being recorded. I would now like to turn the conference over to David Ortega, Director of Investor Relations. Please go ahead.
David Ortega - Director, Investor Relations: Thank you for joining us this afternoon. I will read the forward-looking statement. The Corporation may make forward-looking statements about its relative business outlook. These forward-looking statements and all other statements made during this meeting that do not concern historical facts or subject to risks and uncertainties that may materially affect actual results. Specific forward-looking statements include, but are not limited to any indications regarding the financial services industry, the economy, and future growth of the balance sheet or income statement. Please refer to our press releases, Form 10-Qs and 10-Ks concerning factors that could cause actual results to differ materially from any forward-looking statements. Now, I would like to introduce you to Mike Rechin, President and CEO of First Merchants.
Mike Rechin - President and Chief Executive Officer: Thank you, David. Welcome everyone to our earnings conference call and webcast for the second quarter ending June 30, 2013. Joining me today on the call are Mark Hardwick, our Chief Financial Officer; and John Martin, our Chief Credit Officer. We’ve released our earnings and our press release at 10.30 AM Eastern Daylight Savings Time and our presentation speaks to material from that release. The directions that point to the webcast are also contained at the back end of the release and my comments begin on page 4 in a slide titled 2013 performance highlights. Earlier today, First Merchants Corporation reported second quarter 2013 earnings per share of $0.34 compared to $0.28 during the same period in 2012. Net income available to common shareholders totaling $10 million compares to $8.1 million earned during the same period in 2012. Year-to-date earnings per share totaling $0.72 compared to core earnings of $0.53 in the first half of 2012. Reported earnings for the first half of 2012 totaled $0.74 as the corporation recorded a gain on our FDIC purchase of Shelby County Bank in Shelbyville, Indiana of $0.21 per share in last year’s first quarter. As I look at the results, virtually all operating areas in our company in the second quarter reflect nice progress offset by 7 to 8 basis points of core net interest margin compression that Mark will discuss later as we get deeper into the financials. The volumes, the expense control, the credit improvement that John will discuss combined it produce a significant amount of profitability. Year-to-date combined with last year is that it provided us the capability at the Bank and as such through up-streaming to the parent, the ability to make partial repayments of our small business lending fund obligations. And so on page four you can see that cumulatively, we have redeemed nearly $57 million of SPLF preferred shares. This year, the first piece in January and then more recently just after the end of the quarter, we are discussing in early June when we redeemed an additional $34 million. Another highlight for the first half of the year is on the bottom half of this page, where we will discuss throughout this presentation the May 13, 2013 definitive agreement we reached to acquire CFS Bancorp in Munster, Indiana, and a couple of the attributes of that company are listed on these bullet points. We hosted an investor teleconference also on May 13, where we discussed our view of an attractive opportunity to build our franchise. And among those attributes with our market demographics, the management team and that management team in progress and reshaping their business model and winning market share that now will become part of our company post close, lastly the opportunities accretive immediately in 2014 for the benefit of our investors. So, at this point I am going to turn the presentation to Mark to do a deeper look into our second quarter results.
Mark Hardwick - Chief Financial Officer: Thank you, Mike. My comments will begin on slide six. Our loans increased year-over-year by a little over 4% and they will now total $2.920 billion. And John will present portfolio segmentation numbers later on the call, but you will notice that consistent with the last page of our press release where we show the detailed loan portfolio that our commercial and industrial loans plus commercial real estate loans increased by nearly 9% year-over-year. The allowance on line three totaled $68 million or 2.32% of loans and represents 175% coverage of our non-accrual loans. Net charge offs totaled $2.3 million for the quarter and $5.3 million year-to-date, slightly less than our provision expense of $2 million and $4.1 million respectively. The composition of our loan portfolio on slide seven is reflective of a commercial bank balance sheet with community bank for again granularity and it continues to produce very good loan yields. The portfolio yield for the second quarter totaled 4.66% and our adjusted year-to-date yield totaled 4.73% after backing out a $2.5 million interest recapture in the first quarter of 2013 which we’ve I think highlighted well in last quarter’s call and you will see then it’s consistently taking out of a number of the comparisons, so that you can see the core run rate of First Merchants. The composition of – I am sorry on slide eight our $909 million bond portfolio continues to perform well producing higher than average yields with moderately longer duration than our peer group. Our 3.67% yield compares favorably to the peer averages of approximately 2.6% and our durations remains longer by about eight months totaling 4.3 years. The net gain in our portfolio decreased during the quarter from $33.8 million to $11.6 million. And during the quarter we did increase purchases to take advantage of the higher interest rate environment as our liquidity position remained strong. Our maturities for the remainder of the year totaled just $67 million with the yield of 3.23% and 2014 maturities totaling $110 million with the yield of 3.44%. Now on slide nine, our non-maturity deposits on line one are up 9.5% year-over-year and represents 77% of our total deposits. As reported on Form 8-K on January the 8th we redeemed 22.7 million of preferred stock due to the strength of our net income, credit quality and capital improvements. Then as reported on Form 8-K on July 3rd we chose to redeem another 34 million of preferred stock for the same reasons. Tangible book value per share now totals $11.27, an increase of $0.90 or 8.6% year-over-year. As previously mentioned our deposits – our mix of deposits on slide ten continues to improve and our total deposit expense is now just 40 basis points down from 63 basis points as of same period in the second quarter in 2012. Our regulatory capital ratios on slide 11 are well above the OCC and the Federal Reserves definitions of well capitalized and Basel III minimums and a small decline in our total risk-based capital ratio on line one was due to the January SPLF reduction and growth in our earning assets. We are especially please to have crossed the 10% Tier 1 common equity threshold on line four this year and we believe that the 8% TCE on line five threshold should be attained in one of the next two quarters. The net gain in our available for sale investment portfolio did decline as I mentioned previously during the quarter as long-term interest rates increased creating an unanticipated decline in our tangible common equity from the first quarter to the second quarter of 2013. The corporation’s net interest margin on slide 12 totaled 3.88% for the quarter and when adjusted for fair value accretion of $412,000 totaled 3.84%. Our fair value accretion adjusted net interest margin totaled 4.04% in the second quarter of last year and has compressed by around 20 basis year-over-year. The compression is of some concern, but our primary focus remains on core net interest income, which declined $1 million or just under 3% second quarter 2013 compared to the second quarter of 2012. Our loan growth and our core deposit growth remain high priorities, and we are pleased with our ability to mitigate net interest income compression based on growth in our earning assets, in our lowest cost of funding. With any net interest income compression, provision expense, management, fee income growth and non-interest expense management become very important and we feel great about the trends in all three categories. Total non-interest income on slide 13 does have some volatility based on our gains or losses on the sale of securities, but we are very pleased that on line 11, which is adjusted for gains and losses on securities. That, that line increased 9.5% over the same quarter last year and also increased by more than 8% over the six-month period of 2012. Our insurance, trust, and mortgage lines of business have all performed well and are the primary drivers of our success in our non-interest income growth. Non-interest expense on slide 14 totaled $77.3 million for the quarter, down from the prior year total of $34.2 million, and year-to-date, our non-interest interest expense levels are up just $234,000. Our priority of interest expense of – I am sorry of expense management is trending positively notwithstanding second quarter merger-related expenses from investment banker fees and legal fees. Now, if you turn to slide 15, our pre-tax pre-provision run-rate remained strong, again in the second quarter of 2013. And when you compare the $19 million last quarter to $17.9 million, I would just ask you to remember the $2.5 million of interest recapture that we recognized last quarter. Credit quality improvements, combined with our preferred stock repayment and the corresponding reduction in preferred stock dividend expense is driving our bottom line EPS beyond the pre-tax pre-provision number. And as you can see on slide 16, our six-month results are really strong actually 2011 to 2012 and ‘13 as those numbers have improved from $0.35 in 2011 to $0.51 per share in 2012 and the first six months of 2013 totaled $0.69 per share. John Martin will now discuss our own portfolio composition and our related asset quality trends.
John Martin - Chief Credit Officer: Alright, thanks Mark and good afternoon everyone. I will be covering asset quality starting on page 18 followed by the allowance coverage in non-performing asset migration before concluding with portfolio trends and some several high-level thoughts in the portfolio. Please turn to page 18 now. Asset quality continues to trend favorably both year-to-date and in the linked quarter. For the linked quarter, non-accruals on line 1 declined $7.8 million and were down $14.4 million since the start of the year. And that’s $24.1 million over the last four quarters averaging roughly $6 million. On line 2, ORE also declined following the $1.3 million from $13.1 million to $11.8 million. This quarter we did not have a single large ORE property skewed the results instead we saw more granular activity in ORE with the largest transfer into the category being a single family residents of approximately $550,000 with the next largest transfer being less than 200,000. So, there is good migration there offsetting the transfers were the three largest ORE sales totaling approximately $1.4 million. These transfers in sales combined with the other smaller in and outflows comprised the $1.4 million that changed in ORE a suspension. From a portfolio perspective we are carrying our two largest ORE properties between $2 million and $3 million, so beyond those properties the ORE portfolio becomes granular. On line three renegotiated loans declined $1 million driven primarily by AE notes form the prior periods seasoning and paying as agreed for at least six months. The AB note troubled that restructure is a continuation of a strategy mentioned only throughout the credit cycle where we resolved borrower over-leverage by creating a performing A note while recognizing a loss in the current quarter through the charge off of the B note. Skipping down to lines eight and nine, we continued to experience improvement in classified and criticized assets down 14% and 6.9% in the linked quarter. Classified assets include roughly $6 million in investments in all the periods presented. So, all-in-all the message continues in the same direction, it has been communicated over the recent quarters. Asset quality continues to improve on – continues to trend favorably in the second quarter highlighted by lower criticize and classified assets reflecting stronger customer performance in the resolution of non-performing loans through restructures. Moving on to slide 19, allowance coverage to non-accrual loans continues it’s quarterly trend upwards from 147% to 175%. The improved coverage highlighted on the top graph resulted from the decline really in non-accrual balances which outpaced the reduction in the allowance. With strong allowance coverage to non-accrual loans combined with reducing levels of criticized and classified assets will lead to further reductions in the allowance. Over coming quarters, the factors driving the pace of the allowance decline includes the pace at which the $4.5 million of specific reserves on line five of the previous slide are charged off or released as well as the pace at which criticized and classified assets are able to be reduced. As you can see on the bottom chart the allowance remains strong by most measures or all measures. Gross charge offs continued a trend line downward with gross charge offs of $4.86 million compared to linked quarter of $6.6 million. The top 10 recoveries totaled roughly $1.9 million with the largest a restructured B note recovery of $850,000. The recovery of charged-off loans is of course unpredictable and we therefore do not depend or otherwise plan for future recoveries in any of our modeling. That said that quarterly recovery helps to drive net charge-offs and provisioning lower for the quarter. And as further asset quality improvement continues our modeling shows us the allowance continuing its trend towards a 2% level. Now turning to slide 20, as presented in previous calls the non-performing asset reconciliation highlights the progression of problem loans and other assets during the quarter. At a high level in the far right column enabled Q2 ’13 and starting on the line one we saw a decline similar to what was experienced last quarter in total NPA change with the decline shown on line 13 of $10.1 million reducing NPAs and 90-day delinquent from $66.3 million down to an ending balance of $56.2 million. On a more granular basis on line two of the column same column Q2 2013 the level of new non-accruals fell from the previous quarter to $4.2 million which continues to allow for progress in lowering non-accruals obviously if there not as much inflow as it makes it. Now, it’s to difficult to get non-accrual number down. So, overall migration, it continues in the right direction driven by lower non-accrual loans, positive activity in ORE, and lower restructured loans resulting in a 15.2% decline in NPAs 90 days past due for the quarter and a 31.4% change as highlighted year-over-year. Now, turning to slide 21, in both the linked quarter and year-to-date, we experienced growth in key areas of our loan portfolio in the phase of soft, but improving non-mortgage retail lending. On line 1, C&I lending was up 3.1% in the linked quarter and 5.65% year-to-date. Likewise, on line 2, we continue to build the balance construction lending pipeline as we have seen strong demand for multi-family housing. This is helping to supplement the roll off of stabilized properties refinancing out of many firms, the effect of which can be seen on line 3. As mentioned in previous calls, while construction lending on line 2 is up to $26 million in the linked quarter and non-accrual, or excuse me, non-owner occupied CRE is down $15 million, the two categories are being driven by projects funding and moving both in and out of the construction phase to both the permanent market and into the bank’s loan portfolio. We really expect to see the CRE portfolio trend positively with the construction in non-owner occupied categories changing as projects continue to fund, stabilize, and move to the permanent market. So, then before I turn the call back over to Mike, I would just say that the portfolio continues to trend favorably in asset quality. And I believe that we are well-positioned for the pending merger with Citizens in light of the improved asset quality and trends. With respect to ORE and credit-related expenses, as Mark mentioned, was down for the quarter from $1.9 million to $1.5 million. We would expect that we continue to see some improvement in asset quality or as we see improvement in asset quality or marketing conditions, these expenses will continue to decline. Thanks for your attention. And I will turn the call back over to you Mike.
Mike Rechin - President and Chief Executive Officer: Thank you, John. I think you heard from my colleagues why we feel we had another very productive quarter in the current period results while we continue to build for the future. In light of John’s comments about the portfolio of composition, I will spend a quick moment on page 23. Just reiterating some of the way I look at our First Merchants Corporation’s strategy, which in short is to create a preference for choosing our community bank through superior delivery of service. Our retail bank at the top of the slide with just under 80 banking centers, primarily has served our consumer customers and business banking clients. The balance of the slide speaks to the commercial orientation of our business. And so in any of the segments listed under commercial banking, I just wanted to reiterate the point that the extension or the use of our balance sheet for the benefit of our clients is almost exclusively in market, our markets in a relationship bank model with access to CEOs and decision-makers trying to emphasize creativity and speed in a market that overall remains certainly better than it was two years ago and probably modestly better than a year ago, but still little cautionary on the part of middle market business owners assessing the factors that drive their consumption of capital. But all of the bullet points on here speaking to those business owners have some momentum as we move forward and our business banking unit has seen probably the greatest investment of salespeople and support folks over the last couple of years, we are beginning to get dividends there. Our cash management business, which services both business banking and the core of our commercial side 15% or better growth each of the last six quarters going all the way back through the beginning of 2012 through the current period. So, we are very encouraged there, because we have had some net investment in capital expenditures and a lot of revisiting of our processes. Mortgage banking business, which continues to perform at a very high level has stabilized somewhat as the last quarter showed some fluctuation in the rates that have immediate impact with the clients, and as such, the pipeline. We are really pleased that the investment we have made in some growth markets around origination function and fulfillment to match that has been there in place as the increase in the percent of purchase, volume has grown to offset some of the refi, which is settled down. Our purchase volume has actually ran year-to-date 2013 up at 52% of our originations up from 31% in 2012. And then trust and insurance showing some consistent middle single-digit growth, where we are just continuing to try and build an increasing penetration of revenue into our existing client base, so wanted to speak to that quickly and then talk about what our focus will be through the balance of 2013, and now I am on slide 24. So, the performance drivers in the top slides speak to items that have already been touched on. So, I’ll be brief, but loan growth in the pipelines that would allow for that deposit mix, non-interest income, and expense management. Relative to loan growth, I haven’t touched on pipelines in other parts of the company and given that commercial as the biggest loan category we have, our pipeline to me is very consistent with the middle single-digit growth rates we had talked about this time last year seemed to be getting at and as John mentioned the C&I part of the market, which is a significant focus of ours is beginning to bear fruit, and we like it both for its risk profile and the stickiness of the relationships, but the consumption of the fee businesses that I spoke to a moment ago. Deposit mix kind of reflects itself both in the type in work that Mark talked about with the transaction accounts as well as the ability to continue to trim a couple of basis points over the all-in cost of funds through the deposit categories. And then the projects that are listed on this page were identical to those that I spoke to last quarter and they are intended to help us on both sides of the efficiency ratio both driving more revenue as I relate to projects like customer experience and revenue, where we have segregated and gotten more specific on the delineation between sales and service in the cash management business whether increasing dedication of folks. Our continued second half implementation of product functionality and online banking and mobile banking and then some raw efficiency plays in terms of the number of touches and speed with which we can deliver the long products throughout the company. So, all of those absent the loan processes, we would anticipate to have pretty much completed and in place prior to the integration of Citizens mid first quarter of 2014. Circling back to Citizens, our definitive agreement as I mentioned on the front end of the call was announced on May 13. And in the 10 weeks since that time, we have been working diligently on the approval the necessary for the closing, which we continue to target for the middle of the fourth quarter of this year working with our technology partners on product and service delivery and building our collaboration with the Citizens management team to assure continuation of the great service post-integration as one company. The umbrella overall three of those is just a thorough communication plan for employees both at Citizens and at First Merchants, their clients and the communities that we will be operating in. And in summary our work since May about our opportunity as one company has us even more optimistic about the future of our bank and the reward to our shareholders through its closing. In the last page – before we go to the last point rather before we go to questions is that we continue to be pleased to see that the capital markets, where companies like First Merchants looks attractive and available. And so as we look forward not only with managing down the cost as Mark covered in the SPLF prepayments, we are looking at continuing to manage or balance the cost with the terms in the maturities of existing capital components as they relate to our current obligations. So, we are pleased with your attention. We have time for questions. And Chad, at this point, if you wanted to open the lines, we can take questions should be there any?
Operator: Certainly, we’ll now begin the question-and-answer session. (Operator Instructions) Our first question comes today from Scott Siefers with Sandler O'Neill. Please go ahead.
Scott Siefers - Sandler O'Neill: Good afternoon guys.
Mike Rechin: Hi, Scott, good afternoon.
Scott Siefers - Sandler O'Neill: Let’s say I guess Mark, first question is for you, it sounds like the margin maybe coming under a little more pressure than anticipated I would just be curious to hear your thoughts on the trajectory there. And I guess the related follow-up it sounds like particularly based on what we can see in end of period balances. And then Mike based on kind of your comments on the pipeline. It seems like you will pretty constructive on the overall loan growth trajectory. So, with that in brain or that in mind do you think you can grow net income sequentially off of this quarter’s base or would you see any additional pressure depending on high feel about the margin?
Mark Hardwick: Thanks Scott. If you go to slide 12, I want to start there. I believe it’s the best place to start as an answer to the question. Our first quarter of 2013 net interest income was $40.8 million. And if you back out the $2.5 million of the interest recapture and if you back out the 800,000 or 771,000 of the fair value accretion, the total for the first quarter of ’13 was $37.2 million. And then if you do of the same exercise in the second quarter the 38.1 plus the $400,000 of fair value its 37.7, which is a $500,000 increase and just the core operating margin. When you look at the actual reported numbers that 390 margin on an adjusted basis to the 384, it suggest downward trend, when the core net interest income number is up 500,000. And it’s really related to on something that we have happen – once it was generally twice per year in the second quarter and the third – and the fourth quarter as we have a lot of public money. And we have lot of – we are the primary depositary for many of the municipalities throughout all of that we serve and we had a little over $90 million of increased public money throughout on average, throughout the entire second quarter. Most of that is very temporary and its not money that we can invest in the investment portfolio. So, it tends to just said on the balance sheet and we are able to – we’ll really increase our Fed Funds position, its fore tax receipts in May and November. And is that this quarter rationally was 7 basis points negative drag to our reported net interest margin and adjusted net interest margin? So, the 384 would have been more like 391 reflective of the modest increase that we saw in the core net interest income number. And then as it relates to moving forward, so I don’t want to offer that we expect margins to be increasing but we do believe that we can continue to grow net interest income and if you look at our loan growth at 4% to 160 from this base. If we continued that base which you think is reasonable, whether 2% to 3% spread that allows for quarterly improvement and interest income of $600,000 to $900,000 and that just gives us room for 69 basis points of overall margins compression to at least maintain our net interest income levels and potentially growth on and then were on last note. We are modestly increasing the bond portfolio to pick up some additional spread based on the strength our deposit growth. So, hopefully that answers or give you a little more detail on inside as to where we think are net interest income and margin will be going in the future.
Scott Siefers - Sandler O'Neill: Yeah, that was perfect color, I think of it. So, I appreciate the color. Thank you.
Mike Rechin: Scott, it’s Mike. There was a second portion I think to your question that was speaking to either loan demand at the highest level or near term pipelines and maybe relative to the margin question the yields that we’re earning on those. And I mentioned that at a high level that kind of mid-single digit net growth rate. We would anticipated happen we still feel the same way and the pipeline seem to support that. In prior calls we’ve talked about our commercial pipelines in two contexts, one of them are kind of approved and moving towards closing and then another earlier stage one where we have proposals in front of either existing clients or prospective new ones. And so what we’re seeing is in a quarter like this past when where we did have some growth at quarter end, it was through the drawdown or the actual closing of some of that pipeline. So to be clear our closed I’m sorry - our approved pipeline ready to close at June 30 was beneath where it was on the end of the first quarter. And then that earlier stage pipeline our bankers (in front of) clients is they’ve actually grown by a like dollar amount. So when we look at both of them knowing that probability of closing is not a perfect, but we still feel very good about that mid single digit number.
Operator: Our next question comes from John Barber with KBW.
John Barber - KBW: Good afternoon.
John Martin: Hi, John.
John Barber - KBW: John, I apologize if you already touched on this, but the $900,000 of specific reserves, there is an increase this quarter. Was that related to the $4.2 million of non-accrual inflows and if it is can you just give us a little bit of color on the inflows? Thanks.
John Martin: Yeah, I think I have to actually backup John, I apologize. The specific reserve the increase in this specific reserve was related to the inflow for the quarter. It was obviously related to a collateral deficiency on the individual name that was associated, but it was a piece of individual commercial real estate not really have any additional color to provide other than we’re actively working it, where actually with their relationship is a two portions was commercial real estate and C&I. So if there is anything else…
John Barber - KBW: That’s helpful. And then just switching over to the securities portfolio, I was wondering as this curve steepened and your duration extended it was 4.3 years versus 3.9 years last quarter. I guess how comfortable are you of letting that extend out I guess as the curve steepened even more you just naturally get a longer duration. How are you thinking about that and has it impacted what you are buying in the securities portfolio now? Thanks.
John Martin: We have a policy limitation of five years and given the amount of earning assets that we have on our balance sheet that are variable over $1 billion I think it’s a $1 billion almost $1.2 billion of variable rate loans in the portfolio. We’re comfortable having a little longer duration maybe than it appear and we’re not necessarily managing more as a natural hedge against the rest of our balance sheet which drives our net interest income. And so we’re more comfortable with a little extension there most of what occurred from the first quarter to the second quarter was – as a result of our mortgage-backed portfolio, our CMO and MBS portfolio actually extending slightly as interest rates modified or increased that their prepayments fees slowed down a little and then extends the portfolio. So we’re monitoring it very closely and as it relates to what we’re buying we’re generally staying relatively short in the duration range less than five as it relates to all mortgage-related purchases. And we’re doing some municipal purchases where we think the spreads are attractive and those are longer term, those are more seven or eight years but we think that the improvement or the pickup in the yield is worth the additional duration. So that’s kind of the view that we have and it’s primarily set or driven off of our net interest income simulations or economic value of equity calculations. And the management of - really the net interest income on a go-forward basis.
John Barber - KBW: Thanks Mark. And the last one I had was just related to the change in the state income tax rate in Indiana from 8.5 to 6.5, did that impact the tax rate at all this quarter.
Mark Rechin: On portfolio impact is…
John Barber - KBW: So, I was under the impression that Indiana changed the state of income tax rate, they lowered it 200 basis points, and I was just wondering if that had an impact on your deferred tax asset and then your tax rate this quarter?
Mark Rechin: Not really. That was a function of our tax exempt income. I am not aware of anything specific that modified the rate this quarter.
John Barber - KBW: Okay, thanks Mark.
Mark Rechin: Thank you, John.
Operator: There appears to be no further questions. So, I’d like to turn the conference back over to management for any closing remarks.
Mark Rechin - President and Chief Executive Officer: Great, Chad. I really don’t have any other than our collective appreciation for the attention today, your interest in First Merchants, and we look forward to talking to you in a couple of months as we have another quarter of results to speak to in greater progress towards our Citizens transaction? Thank you all.
Operator: Thank you. The conference is now concluded. Thank you for attending. You may now disconnect.